Operator: Good morning, and welcome to the Gibson 2016 Fourth Quarter Results Conference Call, in which management will review our financial results of the company for the three months ended December 31, 2016. I will now turn the meeting over to Tammi Price, Vice President, Finance and Corporate Affairs. Please go ahead. I will now like to turn the meeting over to Ms. Tammi Price, Vice President of Finance and Corporate Services. Please go ahead.
Tammi Price: Thank you, Toby [ph] and thanks everyone for joining us this morning. During today’s call forward-looking statements may be made. These statements relate to future events or the company’s future performance, and will use words such as expect, should, estimate, forecast, believe, or similar terms. Forward-looking statements speak only as of today’s date, and undue reliance should not be placed on them, as they are subject to risks and uncertainties which could cause actual results to differ materially from those described in such statements. The company assumes no obligation to update any forward-looking statements made in today’s call. Any reference during today’s call to non-GAAP financial measures, such as EBITDA, adjusted EBITDA, pro forma adjusted EBITDA, distributable cash flow, or payout ratio, is a reference to financial measure excluding the effect of certain items that would impact comparability. For further information on forward-looking statements or non-GAAP financial measures used by Gibsons, please refer to the 2016 fourth quarter Management’s Discussion and Analysis issued yesterday by the Company and in particular, the sections entitled forward-looking statements and non-GAAP financial measures. All financial amounts mentioned in today’s call are in Canadian dollars, unless otherwise stated. Participating on today’s call are Stew Hanlon, President and CEO; and Sean Brown, Chief Financial Officer. The format for the call will be that Stew will provide an overview of our results, and Sean will highlight a few items regarding our capital spending, our financial position and the debt repayment refinancing initiative which we announced this morning. This will be followed by a question-and-answer session. Cam Deller, our Manager of Investor Relations, and I will be available after the call to answer analysts modeling questions. With that, I’ll turn it over to Stew.
Stew Hanlon: Thanks, Tammi, and good morning everyone. While 2016 was undoubtedly a difficult year for us, the highlights of our fourth quarter of 2016 include a 50% sequential improvement in combined adjusted EBTIDA with all business segments contributing quarter-over-quarter gains. While some of these improvements were to be expected as normal seasonal gains, we realized from higher winter demand was in the industrial propane and wholesale NGL segments, more importantly the storage and connection infrastructure we commissioned coupled with continued improvements in our more activity sensitive businesses provided more meaningful support. As we noted in our third quarter report, the significant highlight in the final months of 2016 was the successful commissioning of 2.9 million barrels of storage infrastructure at Hardisty and 300,000 barrels of storage plus related rail loading infrastructure at Edmonton. Much of this tankage was brought into service under budget and 1.8 million barrels of storage at Hardisty was brought into service ahead of schedule, for which we successfully contracted short term tenants. Speaking to business conditions in the fourth quarter a rebalancing of crude market supply and demand fundamentals that began during the second half of 2016 accelerated in the final months of the year. Additionally, the outlook for a more balanced market was amplified by OPECs announcement in November and a coordinated agreement with certain non-OPEC countries to reduce combined output by 1.8 million barrels per day. This improved outlook combined with a 10% increase in crude prices over the third quarter prompted further improvements in overall activity levels as our customers gained greater confidence that the worst of the cycle was over. The U.S. onshore rig count increased by more than 100 rigs over the third quarter to average 567 rigs in the fourth quarter in 2016. In Canada, despite wet weather and road access issues encountered by our customers early in the quarter we saw the active rig count increase 7% in the fourth quarter over the same period last year. Additionally, many of our customers announced a 2017 capital budgets during the fourth quarter of 2016 which in aggregate reflected an approximate 40% to 50% increase in conventional spending, the first annual increase since 2014. On the oil sands side, two discrete but particularly important announcements were made in the fourth quarter regarding the commissioning of two Brownfield oil sands project, first with Cenovus Christina Lake Phase G and secondly with Canadian Natural’s Kirby North project representing combined production capacity of 90,000 barrels of bitumen per day. This the sanctioning of these projects reflect the earliest indications that Canadian oil sands, resources can now – can once again begin to successfully compete for capital in the current crude price environment. While I am pleased to finally see healthier market conditions manifest themselves, we will remain cautious as we progress through 2017 being mindful of potential bumps in the road as this recovery takes shape. While prioritizing the efficient execution of our infrastructure growth project currently under development, we will continue to carefully watch business conditions, deploy spare capacity within the logistics segment as appropriate and look for the potential to slowly recover the associated pricing to pre downturn levels. A highlight for us subsequent to the end of the year was reaching a definitive agreement with Superior for the sale of our industrial propane segment. We are pleased with the outcome of this extended sales process and believe that the transaction we announced on February 13 has surfaced maximum value for our shareholders while enabling near term receipts of non-refundable cash proceeds and removing closing risks. On March 1, we announced the receipt of C$ 412 million in growth proceeds which will be used to strengthen our balance sheet and enable us to support our ongoing infrastructure weighted organic growth initiatives. Later on in the call, Sean will discuss our plan in greater detail with respect to planned use of proceeds as well as the debt refinancing we launched this morning, which will provide the company with significant benefits. I will now discuss fourth quarter performance highlights over individual segments in more detail. Our infrastructure segment posted record quarterly results with segment profit of C$56 million, which was supported by storage capacity and related infrastructure we commissioned at Hardisty and Edmonton during the third and fourth quarters of 2016. The commissioning of this new infrastructure will enable growth to continue as we progress through 2017. Because the projects were commissioned in various stages, beginning in late Q3 and into Q4, we will see the more force [ph] run rate EBITDA capability of these assets as we progress into 2017 eventually in the first quarter as the first full quarter contributions are realized, and then again in the second half of the year as certain interim contracts are replaced with the originally programmed long-term customers. Considering the tranche of tanks we placed into service and the commissioning schedule for the two 400,000 barrel tanks under development at our Edmonton Terminal, we will continue to see growth within our Infrastructure segment into the 2018 timeframe. Looking further into the future, we continue to make progress with commercial development opportunities that with success will enable us to add additional storage and connection infrastructure for customers. The Brownfield oil sands projects sanctioning I mentioned earlier is a good example of the potential new volumes and we expect to see more of this type of development announced as the year progresses. Building on ongoing commercial discussions and in anticipation of success of the customer contract, contracting process, we are moving forward with the front end engineering and initial civil work to develop on the rate of upto four tanks on the east side of our Hardisty terminal. These new tanks represent the next tranche of continued expansion or infrastructure footprint. Implementing the front end work will today will allow us to place them in service in early 2019. Similar to previous new tank construction projects, full development of these thanks will be supported by long-term phase 3 contracts. Additionally, we continue to pursue smaller organic infrastructure projects within the WCSB that offer fixed fee cash flow profiles. With unmatched connectivity and a competitive service offering at Hardisty, and an increasingly similar offering at Edmonton, Gibsons is well positioned to capture these opportunities and convert them into additional visible cash flow growth. Segment profit in our logistics business improved in the fourth quarter to C$15 million, which represents a 22% growth over the third quarter. Crude and other barrels hauled in the fourth quarter were relatively stable over the third quarter, with strong Canadian growth offset by declines in certain U.S. geographies where drilling and completion activities and crude production levels continue to lag or where pricing conditions did not offer and appropriate return on capital. Importantly, we achieved small, yet consistent revenue gains in each of our main business lines. This, when coupled with steady gross margin performance and continued overhead cost reductions allowed us to deliver a second sequential quarterly improvement in financial gains, financial results. The recovering industry activity levels in the latter half of 2016 have continued to accelerate in 2017, with rig counts approaching two-year highs in both the U.S. and Western Canada. Despite these tail winds, pricing competition remains intense in most operating areas. So, while we expect improvements in both volumes and pricing as we progress through 2017, we are cognizant of the potential for -- average retrenchment in activity levels if increasing North American supply or non-compliance with OPEC delays the global price recovery. Given this point of view, while we expect 2017 to deliver materially better business conditions for logistics in 2016, we remain cautiously optimistic as we commence the year. Our wholesale business delivered a material improvement in segment profit in the fourth quarter as cold weather later in the quarter, and a strong downstream customer demand enabled us to distribute NGO volumes which had previously been purchased at lower prices. Additionally, sales of five products in the fourth quarter increased to 12% over the same period in 2015 driven by strong demand for oil-based drilling fluids that we manufacture at our Moose Jaw Facility. Our overall fourth-quarter performance did not include meaningful contribution from our crude oil marketing activities, which continued to be hampered by continued narrow heavy oil price differentials. Similar to the approach taken throughout much of 2016, our wholesale crude team was focused on an underlying strategy to maintain internal volumes in order to maximize asset utilization and throughput rates within our business segments. On the cost side, we continue to execute on our strategy of reducing our leased rail car tally [ph] as we right size our fleet given overall market conditions. As a result, we achieved annual run rate cost savings of approximately C$4 million exiting 2016 and expect another C$3 million in annualized savings for further fleet reductions planned in 2017. Similar to our logistics segment, our outlook for this segment is cautiously optimistic as we progress into 2017, which the anticipation for more normal seasonal weather patterns and an expectation for improved crude oil marketing activities and opportunities in the latter half of the year as growing oil sand supply meets constrained export pipeline capacity. Additionally, we continue to expect improvements in the demand and pricing dynamics for hydraulics fluids which will provide further cash flow gains within refined product sales. Segment profit of C$13 million in discontinued operations, essentially the industrial propane segment was down approximately 10% over the same period last year, primarily due to loyal lower oilfield demand in Western Canada. With reasonably similar weather influences in the fourth quarter as compared to last year, oilfield volumes were down 50% year-over-year and that being said, I think it’s important to note that this year, or whether your deficit has narrowed from early in 2016, indicating a trend towards a healthier overall oilfield customer base. The first quarter of 2017 continues to illustrate this trend and we expect this business segment to realize relatively strong financial results. As we highlighted in our conference call following the announcement of the divestiture of this business, the underlying arrangement enabled us to retain cash flow generated until the non refundable cash proceeds were received which occurred on March 1. After that date, this benefit transfers to Superior. So to summarize, I am pleased with our fourth quarter results, which for the first time in the past year are extremely close to those achieved in the same period in 2015, and the significant are achieved with the commissioning of a significant expansion over storage capacity at our key terminals. After managing through the most dramatic downturn in the energy industry and certainly in my memory, I am pleased to say that our expectation is for brighter days ahead. Now, I’ll pass it over to Sean, who will discuss our capital expenditures, financial position and the repayment and refinancing initiatives we launched this morning. Sean?
Sean Brown: Thanks, Stew. To start, I’d like to highlight Gibsons’ capital expenditures in the fourth quarter of C$43 million; C$35 million of which was spent on growth capital and C$8 million of which was spent on upgrade and replacing the capital. Total 2016 growth capital expenditures of C$204 million were below our earlier were below our earlier spending guidance of roughly C$225 million. Though we had continued to complete many of our growth capital projects under budget, the largest reduction in 2016 expenditures was related to capital spend timing that pushed across nearly C$15 million of originally planned 2015 pending in the early months of 2017. Additionally, total 2016 operating and replacement capital expenditures of C$29 million were below earlier guidance largely as a result of supplier cost savings and low utilization of certain rolling stock within our logistics segment. As a reminder, in December of last year we announced growth capital expenditure guidance for 2017 in the range of C$150 million to C$ 250 million. The low end consists primarily of infrastructure projects commercially secured and currently underway, including the 2400,000 barrel tanks plus pipeline infrastructure we are constructing at our Edmonton terminal. The high end of the capital expenditure guidance range contemplates an additional C$100 million for projects that we are currently negotiating and includes the certain amount of growth capital associated with the front end engineering for the new Hardisty banks that Stew mentioned earlier. We currently have a backlog of growth projects that are approved and underway for 2017 and 2018 that totals approximately C$200 million. With the C$412 million of proceeds received on March 1 when the successful sale of our industrial propane division and the debt repayment refinancing initiatives announced this morning, we are fully financed for all this currently approved underway growth capital expenditures. Incremental capital spending in 2017 or 2018 for projects that are not approved or commercially secured will be financed in a fashion neutral to our capital structure and will likely include some debt and some component of equity. We continue to have minimal requirements to invest growth capital within our logistics segment given the amounts of readily available spare capacity we have on hand. We will look to deploy this spare capacity and service customers in those circumstances where contracted pricing offers an acceptable return on capital. With this in mind, we also expect upgrade and replacement capital spending requirements remain muted in 2017. Furthermore, the divestiture of industrial propane will remove approximately C$5 million of annual upgrade and replacement capital spending requirement, resulting in an estimate of C$35 million earmarked to this category in 2017. Looking at our balance sheet at the end of 2015, and adjusting to account for the receipt of the C$412 million received from the sale of our industrial propane division we are comfortable that are leverage and liquidity profile will support our 2017 capital expenditures and dividend plan. In this regard, our total net debt to trailing 12-month pro forma adjusted EBITDA would have been 3.3 times after adjusting for the industrial propane proceeds. At the end of the fourth quarter, we had C$60 million of cash and remained undrawn on our C$500 million revolving credit facility. As mentioned earlier in the call, the company also launched a significant debt repayment refinancing exercise this morning. As per the press release we intend to utilize a portion of the proceed from the sale of our industrial propane business along with the net proceeds from a new offering to repay certain indebtedness of the company and to refinance certain long term indebtedness. This includes a tender offer for our higher coupon Canadian dollar high yield notes and a portion of our U.S. dollar notes. As well, this includes the issuance of a minimum of C$300 million of new senior unsecured notes. The net effect of the repayment, refinancing initiatives, is to strengthen their balance sheet through a reduction of overall term debt of a row over C$300 million, stagger and extend the company’s debt maturity profile and provides for a significant annual interest savings on a term debt expected to be the range of C$25 million to C$30 million. In addition, we also amended a revolving credit facility which amongst other things extended maturity by an additional few years. In summary, at the conclusion of this process we feel the company would be conservative [ph] capitalized and well-positioned from a financial perspective to pursue our current plans while having the ability to capture incremental growth opportunities as the track for prospects are right during the year. The Company declared dividends of C$182 million in the 12 months ended December 31, 2016. Our payout ratio trended higher as we progressed through the first three quarters of 2016 as cash flow from certain of our activity sensitive businesses tracked below prior year levels. As evidenced by our fourth quarter performance, these business lines have stabilised and when looking at the visible contracted growth of our infrastructure segment coupled with the interest cost savings from the refinancing initiatives we launched this morning, we remain comfortable with the current level of our dividend and expect sequential improvement in our dividend payout ratio through 2017 and into 2018. That being said, our board of directors in agreement with management have decided to temporarily pause the dividend increase we typically announced with the year end result in the first quarter, to further accelerate the recovery of our payout ratio. Looking into 2018 we are of the opinion that dividend growth is likely to return given our forecast and cash flow growth that is underpinned by commercially secured capital growth within our infrastructure segments. That concludes my comments, so I will turn it back to Stew.
Stew Hanlon: Thanks, Sean. So to conclude we are pleased with the continued improvement of our quarterly operating and financial performance. The sale of the industrial propane, the division marks the material turning point in our evolution towards becoming a more streamlined integrated midstream energy company. And we look forward to our growing momentum in the transformation. Now history suggests that the shape and pace of recovery in the energy sector rarely follows a smooth line, it often encounters bumps along the way. Accordingly, we will remain flexible and attentive to the business conditions as the year unfolds, maintaining a high degree of discipline with capital allocation of operating costs. That concludes our prepared comments. Operator, at this time we would like to open the call for questions.
Operator: Thank you. [Operator Instructions] The first question is from a participant. Please state your full name and your company and then proceed with your question. Your line is now open. Hello.
Linda Ezergailis: It’s Linda Ezergailis from T.D. Securities I guess.
Stew Hanlon: Good morning, Linda.
Linda Ezergailis: Good morning, I wasn’t sure that was me or not if I could state my name. Congratulations on a recovering quarter. Maybe we can just start with your Hardisty terminal tank initiative. Can you comment on when you think you might get contracts and what the nature of the customers are that you are talking to or expect to talk to?
Stew Hanlon: Well we are obviously in conversation with several potential customers for those tanks I guess. The nature of the customers would be very similar to the customers, which we have typically contracted for tankage with. So obviously large -- larger scale EMP customers that have large production in the WCSB. With respect to timing I mean we are obviously well enough advanced with several customers that we are confident enough to start putting in place front end engineering and as we move into the summer months that we will start the initial Civil War. During that timeframe we would expect that we’ll make continued progress with respect to contracting, but it would be premature for me to sort of say, expected in the second quarter kind of thing. We are confident that we will get there, given the robust nature of the demand we see for tankage at Hardisty. But in terms of timing of the actual contracting process I’d prefer not to sort of be just specific about that. We are starting the front end engineering and the Civil War within anticipation that we’ll need to place these tanks into service in 2019 and that based on the conversations we’re having with several customers.
Linda Ezergailis: Okay. Thank you. And just moving on to your financing strategy and how you think of capital allocation, can you comment on what sort of duration your range of durations you’re contemplating for your private placement would be about five years and what sort of range of coupons you think would be in the mix?
Stew Hanlon: We’re in the market today, so and I'm not sure that I'm allowed to tell the market exactly what they give us. But I would suggest that we certainly expect pricing for the offering to be similar to recent deals that have been made by companies in the high yield market, so the Canadian market remains a very strong and so we expect a good result. With respect to tender, typically we -- as we look to stay here the maturity profile of our debt, I would be wanting to a note that would be in excess of five years and so I’d probably got towards seven.
Linda Ezergailis: Okay. That’s helpful. And then maybe just further to that when you look to 2018 and contemplate the possibility of a dividend increase or not, what are the factors that you think or when making that decision can you comment on your updated thoughts on what might be an appropriate payout ratio range? How you might think of kind of a growth trajectory and continuing that versus just discrete decisions year-over-year?
Stew Hanlon: Thanks for that. I think as we continue sort of the evolution of the business as I talked about. By spending the vast majority if not all of our growth capital on our infrastructure segment, as we go into the future the growth from that infrastructure segment gives us a high pretty high degree of confidence that we would be able to contemplate a dividend increase in the 2018 time frame. And thereafter because we can point to infrastructure growth and give some visibility to future growth within that infrastructure I would suggest that the market should expect that percentage payout of our infrastructure segment or earnings would be the primary factor in terms of the dividend, the sustainability and growth. And so I think on a go forward basis that allows us then to be a lot more sort of regimented with respect to dividend growth as supposed to being making discrete decisions as you know we have been doing in the past.
Linda Ezergailis: That’s helpful. Thank you.
Stew Hanlon: Thanks, Linda.
Operator: Thank you. The next question is from a participant. Please state your full name and your company and then proceed with your question. Your line is now open.
Rob Holt: Hi. Rob Holt, Scotia. Thank you for taking my question. Just want to circle back on some of the comments that Sean made. Just regarding the C$100 million of projects that you’re currently negotiating, would that be in excess of the Hardisty East expansion and if so what are the type of projects you’re looking for there?
Stew Hanlon: Thanks for that note. That would be inclusive of the new tanks that Stew talked about, the additional $100 million.
Rob Holt: And would that just be for 2017 or would that be a total amount?
Stew Hanlon: That will be a total amount. I mean, the C$100 million, we come with growth capital guidance that 150 to 250. As I talked about pretty comfortable with the 150 to the extent we start significant construction on those new tanks. That would start eating into that C$100 million for sure.
Rob Holt: All right. That’s helpful.
Sean Brown: That would be C$100 million delta between the 150 and the 250, right?
Stew Hanlon: Yes.
Sean Brown: Just for the clarity.
Rob Holt: Okay, great. And then with the refinancing as well as the capital in the door from the industrial propane business, can you give any color on, what your thoughts are on M&A versus organic expenditures at this venture junction?
Stew Hanlon: Yes. I don’t think our thought process has changed material in the last few over what we've been talking about for the last year or so. Rob, we have a very robust organic growth pipeline of projects that we can execute on. The M&A market is quite robust with respect to logistics and companies that would fit into our logistic segment, but as Sean pointed out we have a tremendous amount of spare capacity within that segment and don't feel the need to spend any significant amount of gross capital in that segment. The M&A market in terms of infrastructure both in Canada and in the United States remains very hotly contested and evaluations remains very, very high as such I think are better tack at this point is to focus on the organic growth projects that we have in front of us.
Rob Holt: That’s helpful. Thank you.
Stew Hanlon: Thank you.
Operator: Thank you. The next question is from Robert Kwan from RBC Capital Markets. Please go ahead. Your line is now open.
Robert Kwan: Good morning. Maybe I want to just come to the dividend and Stew you talked about paying out of the infrastructure, is that really going to be the way we should think about like that 100% of the infrastructure cash flows and then you get the rest of the activity businesses kind of they open the payout ratio or is there – would you like to trend or something even lower than to open up free cash flow profile?
Stew Hanlon: We haven’t definitively landed on a national percentage, Robert; I think that's a strategy that sort of unfolding as we speak, but yeah, certainly you can expect that a very high percentage of the cash flow generated by our infrastructure segment would underpin the dividend. As we get into the 2018 timeframe on a run rate basis the dividend -- sorry, the infrastructure cash flow generation basically underpins our dividend as well as our fee interest charges on our long-term debt and so essentially all of our capital charges are covered by the infrastructure. On a go forward basis I think that's the capital structures and the dividend payout ratio that we would probably be comfortable with allowing them more activity sensitive parts of our business, but logistics and wholesale parts of our business and to provide free cash flow which we could cycle back into the growth for infrastructure.
Robert Kwan: Got it. And if I can then maybe talk about logistics here, so you guys have done between logistics and wholesale, a great job reducing the OpEx and I guess that if I look at the gross margin trends you are a little flattish versus Q3, but the OpEx gains kind of really drew the EBITDA or the segment profit for the quarter, so I’m just kind of wondering, how do you see those trends both on gross margin and then OpEx going forward, is there a timing like is it lagging or you’ve taken the costs out as things start to improve you got up at more cost back into the business and how should we think about that going forward?
Stew Hanlon: Yes. I wouldn’t expect sort of a lot of cost pressure on our operating margins within logistics. We have worked very, very hard to take a lot of costs out of the segment. Lot of those cost reductions are permanent in nature. We’ve consolidated our operations into larger facilities close to some operating areas, deployed a lot more technology to permanently reduce costs, and so I’d expect margin improvement as we go into the latter parts of 2017 would be more in terms of seeing improved activity levels, seeing excess demand being is a soaking up excess supply and hopefully seeing a return to more normal pricing levels. I think that’s where our operating margins start to improve as we go forward. But I wouldn't expect a tremendous amount of grind in terms of margin on the cost side. I think we’ve done a pretty good job there.
Robert Kwan: Okay. So to be clear as volume and pricing improve that’s obviously going to improve gross margin and almost dollar for dollar that’s drop down bottom line?
Stew Hanlon: That’s our expectation, yes.
Robert Kwan: Okay. Maybe just to finish, coming back to the advance work you’re doing for the potential new tanks at Hardisty. Obviously you don’t want to get into the customers, but I’m just wondering like what’s the driver of those discussions? Is it new oil sands, volumes where customers are trying to get at front of that is KS [ph] dollar line three related or is it rail-related or something else?
Stew Hanlon: Yes. I think it’s probably a combination there, but primary driver would just be volume growth within the WCSB. Though I did mention to sort of discrete Brownfield projects that have recently been sanctioned, that is an indication. We see of growing volume within the WCSB. But we also see improved efficiencies with drilling and completion activities. We see growing volumes coming out of the Viking area as an example and other, and return to sort of more normal operations within some of the conventional basins. Absent TMX expansion which is still some years off. All those volumes drain down into Hardisty before they go into the export cycle. Be that in the export pipeline systems and/or be that later on this year we would expect to see an uptick in crude by rail. So that it really makes Hardisty kind of the focal point for tankage for the WCSB at least for the foreseeable future.
Robert Kwan: Understood. Thank you very much.
Stew Hanlon: Thank you.
Operator: Thank you. The next question is from Robert Catellier from CIBC World Markets. Please go ahead. Your line is now open.
Robert Catellier: Good morning. You’ve answered most of my questions, but I just want a little clarification on the cost side here. So with the progress you’ve made in 2016 how much of that 40, almost C$40 million of cost savings that you’re targeting has been realized and what benefit is left to be realized in 2017?
Stew Hanlon: Well I think probably using the 80/20 rule is a good approach there, Robert, the C$40 million was a run rate we would expect that the vast majority that C$40 million would be manifested in our operations in 2017. Within that component however – within that C$40 million however there was some variable costs that we will see come back into the system as our activity levels ramp up, so off the top of my head I would apply the 80/20 rule, 80% of that cost reduction is permanent and will be achieved on a run rate basis in 2017 and you could see maybe 20% of that cost to creep back in.
Robert Catellier: Okay. And then what are the practical locations of assuming single-shipper status at both Hardisty and Edmonton. And maybe you could speak to both the additional margin opportunities there and any incremental risk?
Stew Hanlon: If you're referring to single-shipper status on our pipeline systems at Hardisty, you know I think practically that improves the efficiency of our operations and allows our wholesale group to be more effective in terms of attracting incremental volumes to those systems, that’s the primary driver of the decision to go single-shipper. Most of the gathering system pipelines in Western Canada are of that nature. So, it's really just a vehicle for us to simplify our operations and allow us to be a lot more efficient in terms of our wholesale group attracting volumes to those systems. Yet to be clear within our Hardisty and Edmonton terminals those are all multi-shipper facilities. We do have some exclusive tankers that we utilize at Edmonton for our wholesale group, but myriad of shippers have status within both Hardisty and Edmonton, so the only place we are single-shipper would be on our pipeline systems.
Robert Catellier: Yes. That’s understood. Then the final question here, I just want a little bit more color in the financing strategy here. On the one hand I could see why you'd want to redeem some of the notes that are outstanding and extend the term, but at the same time it looks like you’re actually shrinking the balance sheet by a reasonable amount in light of some bullish comments with respect to potentially new growth projects associated with the tanks at Hardisty. So can you help us square that a bit and what ultimately would be the next financing steps, if you’re successful with some of those tanks. I just wanted to be clear that there is not a message here the growth is slowing or rather just restructuring the balance sheet and we’ll add to it down the road.
Stew Hanlon: Yes. Maybe I’ll take a stab at that and Sean you can fill in the blanks. Yes, I think we are sort of rightsizing the balance sheet subsequent to the sale of the industrial propane segment, so we wanted to make sure that the total leverage perspective with respect to net debt to EBITDA, covenant ratios and that sort of thing that we were in line. We will charge the balance sheet somewhat with this refinancing opportunity and with this successful deals that which we expect today, we will be in a position where our full 2017 and 2018 growth projects are essentially in financial situation. As Sean alluded to assuming success with the contracting strategy around additional growth beyond the sort of $150 million, so we talked about today, we'll looked into property finance at within an appropriate mix of debt and equity to make sure that our capital structure remains very positive. Sean, I don’t know if you got anything to add there.
Sean Brown: Yes. I think all I would add is, I think actually there is no messaging here around a slowing of the growth. That at all actually I’d say it’s quite the inverse almost, the one thing that I would note is that we do 412 in proceeds right now, but we also have a C$500 million undrawn revolver. So when you got that much liquidity moving forward the question is what the optimal capital structure and how do you reduce the cost of carry. So, what we’ve elected to do is pay down some of our higher coupon debt as Stew said, charge the balance sheet, keep that on there for some of the capital and then longer term to utilize some of that undrawn revolver to fund some of that capital just to reduce the cost of carry and the C$412 million that we have right now.
Robert Catellier: Okay. Does the deal contemplated in the final outcome of this restructuring change your covenants at all? Do you become more covenant light? Is there any material change to the covenants that you foresee?
Sean Brown: No. With the amendments there is -- the actual headline covenants, longer-term have changed. The final covenant ends up at 4.0 times as opposed to 3.5 times, but that was through the negotiation of the banks that would happen in the natural course, but the covenants have not changed materially other than that.
Robert Catellier: Okay. Thanks for those answers. That’s it from me.
Operator: Thank you. The next question is from Dirk Lever from AltaCorp Capital. Please go ahead. Your line is now open.
Dirk Lever: Thank you very much. Good morning, gentlemen. If you could on the Hardisty, on those four tanks, you’re looking at 400 to 500 in size?
Stew Hanlon: That remains sort of a subject of discussion and negotiation with customers that we’re talking to. Obviously the ultimate size would be what the customer at the end of the day needs. Utilizing pretty valuable land footprint I wouldn’t want to build anything probably smaller than a 400, but 400, 500 those are – that’s kind of range we’re talking about, yes.
Dirk Lever: Okay. And then, you mentioned on the wholesale side, that you still saw weakness on the crude marketing side. Are you looking at potentially a second half recovery then? I'm just trying to – I guess I couldn’t write fast enough to do so.
Stew Hanlon: That’s our current expectation. Having -- and the reason for sort of that level of at least cautious optimism is we do see growing heavy load volumes as we go into latter half of this year and that will be constrained by available pipeline capacity downstream at Hardisty. So, we’re starting today to see actual real portion of it, but not just everywhere else, and so anytime you see sort of additional stresses within the marketing delivery systems within North America you tend to seem more volatility with crude oil price differentials, volatility within the those differential allows us to use of the services that we have to help our customers but it also provides us with opportunities to capture greater margins. And so we expect that the second half of this year certainly we’re not seeing thus far in the first quarter and wouldn’t expected really in a material way in the second quarter. We’re cautiously optimistic about the second half.
Dirk Lever: Terrific segue to the next question, which is maybe you can give us little bit of color what’s happening on the rail side like we have seen a portion when rail shipping are up. Maybe you can give us a little color on how busy you've been in and what its look like going forward here?
Stew Hanlon: We’re certainly still not at anywhere near capacity at Hardisty. As you know and to remind everyone, we are supported by a 100% take-or-pay obligations for that facility, but I would say that while we're starting to feel a lot more inbound in terms of that available capacity we haven't seen a tremendous uptick in crude by real volumes coming out of the Hardisty area as yet.
Dirk Lever: Okay. So just people prepping themselves for the eventuality down the road?
Stew Hanlon: I believe, so yes.
Dirk Lever: Thank you, Stew.
Stew Hanlon: Thanks Dirk.
Operator: Thank you. The next question is from a participant. Please state your full name and your company and then proceed with your questions. Your line is now open.
Unidentified Analyst: Hello this is [Indiscernible].
Stew Hanlon: Good morning.
Unidentified Analyst: Two questions. First one as we saw some very strong volume growth in Edmonton terminal along with Hardisty. Can we – I believe you expect to see Hardisty continuing with Edmonton sort of tail off for the time being?
Stew Hanlon: In Volumetric growth, the volumes at Edmonton are somewhat less predictable than volumes at Hardisty, at Edmonton we do handle a tremendous amount of refined product for specific customer and you know that particular contract is not volumetrically we didn’t so we do see a fairly significant ebbing and flowing of volumes at Edmonton. That doesn’t really impact the overall economic performance of the facility. With respect to Hardisty, yes I would expect that as we continue to see volumetric growth within the WCSB we will continue to see volumetric growth at Hardisty, as I had mentioned in response to an earlier question, absence sort of a west coast takeaway and/or absent a significant pickup in crude by rail for facilities other than at our Hardisty terminal, virtually all barrels need to come to Hardisty in order to get to our market and so you’d almost be able to say as the WCSB grows so does our volume, so do our volumes at Hardisty.
Unidentified Analyst: Okay, just following through on one more Hardisty question, clearly with the tanks that have come into service ahead of schedule, you’ve been able to utilize them and bring in revenue. Is the philosophy to only add additional tanks if you can get take or pay contracts given that you have been I guess successful in non take or pay contracts in terms of bringing in revenue?
Stew Hanlon: Yes, we currently don’t have a tremendous appetite for building tankage on spec. We would move forward with the sanctioning of additional tankage built when we have successfully completed long term contracts for them. Now having said that, in the last big tranche of tanks that we did bring into service we had one tank which was not contracted, which we utilised or which we need to utilize for basically working stock, for moving customers into and out of our spare tank as we got into API 653 inspections every ten years. We were able to contract for that tankage, for that tank and so we currently don’t have a spare tank, I would expect that as we move forward into the next tranche tankage we’ll have at least one spare that we will require for our working – working our stock needs.
Unidentified Analyst: Good, well thank you very much. That’s it for me.
Operator: [Operator Instructions] As there are no further questions, I would now like to hand the call back to Miss Tammi Price. Please go ahead.
Tammi Price: Thanks again for your interest in Gibsons. As mentioned earlier, Cam and I are available after the call if there are any more questions. Have a good day everyone.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time and we thank you for your participation.